Operator: Ladies and gentlemen, welcome to the VAT Q1 2025 Trading Update Conference Call. I'm Sandra, the Chorus Call operator. I would like to remind you that all participants have been in listen-only mode and the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Urs Gantner, CEO. Please go ahead, sir.
Urs Gantner : Ladies and gentlemen, good morning and welcome to VAT's Q1 2025 trading update conference call. With me this morning in Haag in our freshly opened innovation center are, CFO, Fabian Chiozza and our Investor Relations team with Michel Gerber and Christopher Wickli. After my introductory remarks, we will start the Q&A session. The call moderator will take your questions in the order you enter them. So let's start. We are pleased to connect with you again after the full year results ran March 4. Following the full year results, we had great discussions during our Zurich and London road shows with a focus on the technology and the anticipated shifts relevant to our business this year. Since then, I spent a lot of time with customers, mainly in Asia, which is especially important during these times of uncertainty we are seeing. Our customers rely on us to be ready with our products and services in the location they need us. And with ever shorter lead times for engineering and new product introductions, nothing has changed there. My takeaway from these discussions is that our customers are not changing their views or expectations about the ongoing technology transition and capacity expansions. However, a new arrival has become relevant, tariffs. Tariffs are likely to impact the demand for and pricing of consumer products. The exact magnitude is difficult to estimate right now. Nonetheless, the advancement of the next generation of chips and thus we as its core growth driver is still in place. The overall demand for semiconductor chips and therefore for semiconductor production equipment remains consistent, but we have seen a slowdown in order intake of about 10% since the fourth quarter. This is due to the high level of uncertainties caused by the geopolitical situation and, for example announcements of potential factory reshorings. The semiconductor supply chain is on a standby to serve where and what kind of demand will arise. Our customers are reflecting this situation as well and lead times remain short. They expect us to remain on standby for deliveries. As we mentioned previously, we have seen a recovery for VAT from the bottom in 2023. The market seems to have plateaued in the past two years around a record wafer fab equipment of around $100 billion. It will be the mix of applications that will drive VAT's growth going forward. The investment announcements by major hyperscalers or the reconfirmation of the previously made commitments is in our view a strong signal that AI will serve as a key driver of the technology transition and of investments in additional capacity. These long-term plans reaffirm that despite of all these short-term obstacles, the semiconductor market continues to grow towards the $1 trillion mark by 2030. In the Advanced Industrial business, we have seen a slowdown in orders compared to Q4. Again, the volatility from uncertainty in global trade has been eating into the business. Furthermore, U.S.-based research institutions have been experiencing cuts to their funding. All this is expected to be temporary and we have still expectations of a recovery and growth in our ADV business during this year. Global services completes the picture. Demand for consumables and repairs remains at the same level as in Q4 as fab utilization has gradually improved over the course of the year. The segment's shortfall is due to the lower demand for refurbishments and upgrades, which, similar to the valves, is related to uncertainty around investments in upgraded wafer fab equipment. Let me repeat what I said at the full-year results in March around our expectations for 2025. First, the semiconductor market is doing well as demonstrated by our 2024 results. We still expect 2025 and 2026 to be growth years for VAT. It's up to us in the industry to provide the latest chips to bring in the next generation of electronics while mitigating the developments in global trade. Second, we are progressing with our capacity and capabilities expansions. In Haag, we just moved into the Innovation Center, a very impressive building where we will get our R&D capabilities running faster. Innovation is what our clients expect from us and what distinguishes us in the market. Third, the thesis of the $1 trillion semiconductor sales in 2030 is still intact, if not even accelerated by additional AI investments in the years to come. The 2 nanometer adoption is in progress in logic, HBM capacities are fully booked in 2025, and our customers are preparing to introduce NAND chips with more than 200 layers. All of these trends require a shift in wafer fab equipment towards a more leading edge with higher vacuum constants. Let's turn to Q1 results that we published this morning. Q1 order intake of CHF242 million represents a modest improvement on last year's Q1 numbers. Group net sales came in just above the bottom of our guidance range for Q1 at CHF275 million. Compared to Q1 last year, our semi sales were up 52%, which ties back to what I said previously. Our semi-valve business is doing well, but we are still anticipating growth to pick up from here. The significant U.S. dollar swings, especially against the Swiss franc, have only taken place in the past two weeks, which means we will talk about this at the half-year call, and thus the FX impact during Q1 was only around a negative 1% to 2%. We maintain a healthy order book of CHF339 million, which is 5% higher compared to last year, and represents a book-to-bill of around 0.9x. This is below our expected book-to-bill over 1x in 2025. Looking forward, we maintain our 2025 outlook that we expect market conditions to continue improving over the course of the year. We continue to expect better sales, EBITDA, EBITDA margin, net income, and free cash flow in 2025. I can only repeat my statement from our fiscal year results. The technology transition in 2025 is one of the key drivers of our business for this year, and based on our technology leadership in Leading Edge, we expect to benefit over-proportionally from this transition. We have also spoken about increasing vacuum intensity. This still holds true as the increase in process steps will drive the overall required installed process chambers, which will increase the installed VAT content in the newer fabs and drive demand for our adjacencies. In ADV, there is no change to our expectations and a rebound in scientific instruments and in industrial applications will drive demand for VAT buffs. We also anticipate further investment in fusion research and uranium enrichment. In Global Services, we expect upgrades and retrofits of existing fabs to pick up as fab utilization overall is high and additional demand will drive upgrades. On tariffs, we are working with our customers to find solutions to the conundrum. Valves represent a small portion of the highly complex supply chains and remain mission critical. Therefore, we believe the immediate impact is going to be limited at this stage. What is more difficult to anticipate is the impact on the overall consumer electronics market. We are set up to outpace the market growth anticipated for 2025 and beyond. The mix is going to be very supportive, leading-edge deposition and edge tools, and our ability to service our customers globally. We are optimistic about the coming quarters and for the second quarter of this year, despite the FX hit, we continue to expect sales of between CHF260 million and CHF290 million, which at the midpoint is in line with the full-year consensus run rate. We will provide more details on our strategic focus and business drivers for the coming years at our Capital Market Day on May 20 at our new Innovation Center in Haag. Formal invitations to the event will go out soon. We plan to offer a planned Innovation Center tour before diving into our strategy in the afternoon. This concludes my prepared introductory remarks and we are now turning the call back to the operator for the Q&A session. Operator, please.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Meihan Yang from Goldman Sachs. Please go ahead.
Meihan Yang: Thank you for taking my question. So I have two questions. First of all, have you seen any potential pre-buy effects given there are potential sector tariffs on semiconductors upcoming according to your customer interactions? And I will ask the second one.
Urs Gantner : I think so far we have not seen that, but I think you are anticipating correctly this could happen. But at the moment it is still too volatile and changing too fast that our customers would do such action. They are also analyzing. Everybody is kind of analyzing the situation and find the right measures to answer the new challenges.
Meihan Yang: Understood. And the second question is on the advanced industrial re-bond that you mentioned. How sensitive is the re-bond assumption that you are having now to the macro development?
Urs Gantner : Yeah, that's also a very good question. I think here we need also a little bit of a crisp ball how the overall economy will evolve now and how the whole pricing overall will change. I think our advanced industrial business is heavily on energy. I think we still see positive that this will continue. And then also on the scientific instruments that goes more also in the healthcare and all this. So I don't expect that there will be a big pushback. And our footprint also in certain areas that are heavily impacted on the tariff is not that high. So overall in VAT it's less than 20% what we send to U.S. So I think this is also for us and again leveling out the impact.
Meihan Yang: Very helpful. Thank you very much.
Operator: The next question comes from Didier Scemama from Bank of America. Please go ahead.
Didier Scemama: Yes. Good morning. Thank you for taking my question, gentlemen. I've got a couple. First, if you could give us an update on your business with the Chinese Semicap vendors. Have you seen any changes in behavior, any pull-in, any push-outs of any sort? And if you could give us a quantification of the revenues coming from Chinese Semicaps. And I've got a follow-up. Thank you.
Urs Gantner : Yeah. China is the hot topic and the question. And I spent quite some time now after the March event we had in China. I met all the major customers and also a lot of new ones. So China is really a very interesting business for us with the big companies you already know. But there is a lot of smaller companies also popping up here. I sense the situation in China. It's kind of completely decoupled what we are discussing here in the West. They have their clear mission. They want to achieve this self-sufficiency in China, not only in the chip manufacturing, but also in the equipment. I think today or last year, the share of the self-sufficiency was around 20%. And this shows that there is huge potential for our customers in China to serve the domestic market going forward. And this is also what we see. They have to develop a lot of new products, tools, new applications. And there is, I always say, kind of a gold rush, engineering rush that they have to come up with this new solution. So it's very positive. And I really sense it's kind of decoupled from all the geopolitics. They just have their own agenda. And Western suppliers, as VAT, we can support them and also benefit from this situation.
Didier Scemama: Very clear. Thank you. --
Urs Gantner : You're asking for the share. I think last year it was roughly 30% of our total. In Q1, it was a little bit higher, 33%, 32%.
Didier Scemama: Thank you. So let's come back to tariffs on the second question. So there are tariffs on Malaysia and in Switzerland, which are quite punchy. I think you've been giving us earlier your exposure to shipments to the U.S. of about 20%. Is that from Switzerland or is it from Malaysia? Or is that like an average that we should use as a sort of bogey for the business?
Fabian Chiozza : Good morning. This is Fabian speaking. So the 20% are the total shipments from both locations.
Didier Scemama: Okay. Brilliant. Thanks very much.
Operator: The next question comes from Jorn Iffert from UBS. Please go ahead.
Jorn Iffert: Hi, and thanks for taking my questions. The first one would be please on the other trends with high bandwidth memory capacity additions being in full swing. And my question is, is this not something that's already supporting your intake quite materially already today? And there's just some weakness in some other legacy CapEx materializing right now. This would be the first question, please.
Urs Gantner : Yeah, from Jorn. And I think you always have to distinguish this as a build out of capacity or also as a tech transition, right? That they are just doing upgrades. And of course, the first step, they are doing tech transition. So they are upgrading their tools, reusing the tools they have before they go into further capacity expansion. And this is certainly something that is holding back. And as I also mentioned before, lead times are extremely short now. And everybody is kind of trying to reduce lead time and just deliver when they need to not go into commitment for too long time. And since the situation is changing quite dramatically from day to day. I think this is this volatility we see. And everybody is holding back. Requests from our customers on lead times is extremely short. And this certainly reflects the situation.
Jorn Iffert: Thank you. And then maybe a second question as a kind of follow up. I mean, when I step back three, four months ago, I mean, everybody was expecting some capex recovery or acceleration to call it this way already. It was not happening. Now, the world is likely looking for a more challenging macro picture versus two or three months ago. So when you listen into your customers also at Applied and VAM, I mean, what do you hear? What is the trigger point, actually, which really gives you confidence that we have end market growth happening over the next one or two years on similar equipment CapEx? And not just maintaining in practice that these $95 billion or $100 billion run rates.
Urs Gantner : And it's certainly an interesting observation. In the past, we were always talking about the semi cycles, right? That was always the up and down in the three to five years. And I think if you analyze data today, I would say it's just going for three to four years cycle to the next plateau. So coming from the $30 billion to the $50 billion to $60. And now we are reached two years ago to $100 billion. Maybe we stay there this year and maybe slightly higher next year before the next big jump will happen. And potentially this will go to the 125, 135 to achieve the next plateau. It's less about the swings in the way for fab equipment. It's more about what kind of tools and the shifts within the way for fab equipment that becomes more and more interesting. And we also try to elaborate that on our full year event that there was a quite a shift in the last year towards more lithography. And especially, let's say, the legacy lithography tools driven by China as well. And what we anticipate now in 2025, this will level out again to the more depth and edge tools. And as you, in the right way, as before the HBM and also then the gate all around technology, they will ask for, they will require more and more the leading edge tool where our content will be. I think this is the growth story. So even if the $100 billion way for fab equipment will remain on that level, VAT is in a position that we will outgrow the market. So we will have to see significant growth in 2025 through this technology shift in the way for fab equipment.
Jorn Iffert: Thanks a lot.
Operator: The next question comes from Sandeep Deshpande from JPMorgan. Please go ahead.
Sandeep Deshpande: Hi. Thanks for letting me on. Two questions, if I may. I mean, in terms of the order intake in the first quarter, I mean, you've seen this weakening of the orders. I mean, is this because of what is happening macro economically or is it something else that you saw during the quarter, which is making it happen also your revenue in the first quarter? Was at the bottom end of the garden? Normally, I mean, you guys are pretty good in achieving what you've got at the midpoint. So can you just give any indications of -- how it's played out in the first quarter? I have a quick follow up.
Urs Gantner : Yeah, I think you gave the answer already in your question. Somehow, it's macroeconomic uncertainties that are coming in. And it's not only one, it's several factors that played in here in the industry itself. So kind of the reshoring activities, not every company is, let's say, in best shape or had some changes internally. And then, of course, also the geopolitics playing in here as well. Tariffs is one, but also the reshoring and every region, every country wants to have the chip manufacturing on its soil. So that gives a lot of opportunities for sure. It's great, some great directions for the industry as well, but also a lot of uncertainties. And as long as this is -- in this flow and changing that fast, everybody is kind of cautious and waiting until there is more security again.
Sandeep Deshpande: And my follow up question would be on one which was asked earlier, which was on the China percentage of your revenue in semiconductors. I mean, this 30% on revenue that you're getting from China. I mean, the semi-cap companies in China do not have that sort of market share in the global semiconductor equipment market. So maybe how do you understand that share you have in revenue coming from the Chinese semiconductor equipment suppliers given this dynamic?
A - Urs Gantner : See, we have very, very long term relationship as well here in China. Of course, just in the last year, China was growing that fast. But this is always building on a long term, a good relationship with customers. And I think if you have done your homework 20 years ago and you have grateful for former management as well, that they were wise enough to also start working with them. And that's kind of stay close to the customer, support them. That's very important, especially if the business at first is not that attractive. If it doesn't look that attractive, that you are very close to them and support them. And I think that's now where we benefit as well, this trusted long term relationship. And of course, the technology they need. They are on a technology path now in China. What they want to achieve in the next five years, the Western world maybe have done in the last 10 to 15 years. So coming from the 28 nanometer node down to the 7 or 5 nanometer. And in China, this will go much faster. They will also have their challenges for sure. Not everything will go smooth, but they will find a way to succeed on that roadmap. I think our goal not only VAT, but also other suppliers, component suppliers will benefit from that since they deliver quality, proven quality products into China and support them partially on that journey.
Sandeep Deshpande: Thank you.
Operator: The next question comes from Aziz Nabeel from Redburn Atlantic. Please go ahead.
Nabeel Aziz: Hey guys, thanks for taking the questions. I had two questions if I may. Firstly, just on gate all around. So how's the supply chain looking in the gate all around ramp? And for a ramp in the third quarter, fourth quarter, when do you expect to see orders pick up? Thanks.
Urs Gantner : Yeah, gate all around is very from a technology side, very, very interesting. So this goes down to the 2 nanometer and in the next phase, then also to the 1 nanometer. Even more equipment will be required. So what gate all around means is that there will be more process steps required to produce or to process the wafers and a lot of more, for example, ALD or ALD process steps. So leading edge process steps where VAT has also a higher share compared to the legacy tools. I think this is what we will benefit. The build out will be certainly driven by one major fab, the leading one. And if you see what kind of chips they are producing, they are really focusing always on the leading edge and that build out will happen. And also they have a very nice announcement about the span they will have in the market this year. But that's certainly what's driving that. And our customers will benefit from that with the leading edge tools. And VAT will benefit since we are qualified on these tools.
Nabeel Aziz: Okay, great. And then I guess on my follow up, there's just another one on China. So ASML yesterday commented that China demand held up better than expected. I'm just wondering how you see overall China WSE spending this year. Whether you feel like, it's trending better than expected and whether you expect it to be relatively stable this year, fall small down this year. Thank you.
Urs Gantner : Of course, our business cannot be compared to the OEM business directly. But yes, China, we also anticipate that the wafer fab equipment overall will be reduced in China this year. Let's say 20%, but we'll be still on a very high level. But even on this reduced wafer fab equipment, the domestic OEM will win. And this is where we will grow in China through the domestic OEMs.
Nabeel Aziz: Great, thank you.
Operator: The next question comes from Michael Inauen from ZKB. Please go ahead.
Michael Inauen: Thank you much. Good morning, everyone. Just two questions on the first on the order intake Q1. How has it evolved actually month over month? Has it actually just basically stopped like a shock that we could have anticipated with the President of the U.S. just bringing up this tariff discussion to a new extreme level? So has it been okay at the start of the year and then basically dropped? I would say a couple of weeks ago. That would be my first question. And the second question would be, I mean, the discussion is obviously still ongoing on tariffs. There is a 90 day pause, but between the U.S. and China, it's still escalating, I would say. So what are your assumptions for VAT, for a good outcome of this? And what would be actually a bad outcome for you going forward? So how should we have, how should we look at these options that we have on the table here? This would be my two questions. Thank you.
Fabian Chiozza : Thank you, Michael, for the question. Good morning again. So on the, let's say, order pattern throughout Q1, I wouldn't see any specific driver here other than the genuine underlying demand. So what you usually observe in a Q1 is that you have a slow start. Then you go into Chinese New Year, which usually has an effect on your Fed numbers. And then March picks up. And I think that has been not much different than what we have observed in the past. On the tariffs, I think that the way I look at this is on our own plate. And that we say symbiotically work with our customers on solutions. And at the same time, do everything possible to ensure that the tariff impact on our financials will be limited. So I think I am not in a position at all to kind of now look in the crystal ball and anticipate what might happen. I think we on our side, we just need to be prepared and then react as we have done in the past. And also going forward while staying very close with our customers and elaborating the solutions jointly.
Michael Inauen: Makes a lot of sense. Thanks, Fabian.
Fabian Chiozza : Pleasure.
Operator: The next question comes from Craig Abbott from Kepler Cheuvreux. Please go ahead.
Craig Abbott: Yes, good morning. Thank you. Yeah, I just wanted to -- in the full-year conference call, you indicated that you felt quite comfortable. Consensus top line growth this year around 20%. And, if I look at the midpoint of the Q2 sales outlook and I add that to the Q1 sales, it suggests nearly half of this has already been achieved in H1. And you said from the beginning and also in the conference call, that you expect Q2 to be stronger with the ramps starting to pick up pace. And I just wondered, given all the uncertainties that we've been talking about in the call, how comfortable you still feel with that? You suggested earlier in your comment that, it was still sort of trending in line with consensus. If you could just elaborate a bit on that. And also just as a final question on that, I guess though it would nevertheless be fair to say visibility on this has maybe declined a bit. And then just one really quick follow-up. Thank you.
Fabian Chiozza : Yeah, thanks for that question. I think I also tried to indicate that in my introduction remarks that we still are very positive that we can achieve not our guidance, but the consensus that is out in the market and that we are on the run right now to achieve that. Yes, the uncertainties, of course, they play in. But not only the tariffs or the reshoring. I think the industry itself, the demand will be there. So semiconductors are on the path to grow to this one trillion as well. So investments will be needed. The exact timing of the investments is always the big challenge. But certainly there will be a major capacity expansion, especially new technology going forward already this year, as announced by the big fabs earlier this year. A big impact, of course will also have the FX. I think that's certainly something that's critical to us always. Being in the still nature of our business in the U.S. dollars and heavily impacted still on the Swiss franc. That's certainly something we have to watch carefully, but it's not completely in our hands. But I think in our global footprint, we also started already in the path to balance that out, that we are less dependent on that as well. But short term, still there might be a hit on that, as I indicated as well. So that's why the guidance, if you read that correctly, it's actually a growth, right? So it's a growth in the Q2, if you would normalize that in the FX.
Craig Abbott: Thank you. Well, that was going to be my follow up was to what extent maybe the recent FX volatility has led to this wide guidance range on themselves for Q2. I appreciate you said you would give us more of an update with a half year numbers, but that is the case, right. There is sort of ---
Urs Gantner : Basically, what I told you in my speech, I had that confirming actually this consensus for 2025 report.
Craig Abbott: Okay. Thank you very much.
Fabian Chiozza : Great, great. Maybe let me just add to that also for the benefit for the other participants. And so as we have informed earlier on, we have actually less than 2% of our sales are recognized in Swiss francs. And therefore, in this utterly volatile environment with the intraday swings that we have observed over the recent days, we have chosen then also to expand this guidance range a little bit, which I believe is mindful at this point of time, but still implies some growth for Q2.
Craig Abbott: Okay, that's very helpful. Thank you.
Operator: The next question comes from Martin Jungfleisch from BNP Paribas. Please go ahead.
Martin Jungfleisch: Hi, good morning. I have two questions, please. The first one is on inventories. You mentioned that slightly higher than expected customer inventories in semi also contributed to slightly lower orders and sales in the first quarter. Could you point out any specific customer group that has seen elevated inventories? And would you expect this headwind to sustain in the second quarter on orders and sales as well? That's the first question.
Urs Gantner : On an inventory, I think it's not high, so it's just also kind of sometimes balancing out. And when the customer takes the goods that can have an impact on the finished good. And of course, in general, it's also that we also prepared, of course to deliver as we mentioned before, as well. Lead times are very short. You also have to be prepared to deliver fast. And then you also have to long lead item in your inventory. And in the end, it's all about the rebalancing.
Martin Jungfleisch: Okay, thank you. And the second question is on adjacencies. Just if you could disclose the rough revenues and orders generated with the adjacencies in the first quarter. And if you could call out any specific applications for customer groups that are currently driving sales and orders for that.
Urs Gantner : I understand. This is a very interesting question. I think we have the answer on that in our half-year result and not in the quarterly.
Martin Jungfleisch: Okay, fair enough. Thank you very much.
Operator: The next question comes from Michael Foeth from Vontobel. Please go ahead.
Michael Foeth: Yes, hi, good morning, gentlemen. Just one question left for me, and I would like to come back on the tariffs. You say that you expect no material impact, but still you have these 20% sales into the U.S. So I was just wondering how we should read that comment. Do you expect basically no tariffs, or do you expect exemptions, or do you expect to pass the tariffs on? Or how should we understand the comment that there is no impact from tariffs on VAT?
Fabian Chiozza : I think the idea, the array of solutions is what you just introduced. So ultimately, as I said before, we're working closely with our customers on solutions to limit the impact. I think there's a range of mitigation elements in here, which we will apply.
Michael Foeth: Okay, I think that goes in the same direction as what ASML also alluded to. Thank you for that.
Fabian Chiozza : Pleasure.
Operator: The next question comes from Lavric Nejc from Octavian. Please go ahead.
Lavric Nejc: Good morning, gentlemen. Thank you for taking my question. The first one would be on the book to bill. If we look at it, it's probably the lowest since a year and a half. What do you expect for the coming quarters? I mean, you have this historically heightened backlog almost 40% of your sales. Could this go back to maybe 20% that we've seen pre-COVID, so maybe a bit more reserved order intake, but still strong sales, as maybe your guidance implies, at least on the upper end? That would be my first question.
Fabian Chiozza : Yeah, we expect that we go back to book to bill of around 1 in Q2.
Lavric Nejc: Okay, and maybe in light of this, I mean, you have CapEx guidance for $90 million to $100 million, you have capacity of $1.5 billion. Maybe in the light of all these tariffs, I mean, are you maybe reconsidering some of these investments or maybe just your cost base? Maybe some thoughts on that.
Urs Gantner : Of course, we are constantly reassessing our investment plans to cater for any potential uptick in demand. But I would say we have set course strategically, how we would like to expand our footprint, how we would also like to decouple the supply chains. I will give you an update on that in about a month from now. So overall, the game plan is unchanged. And also in light now of the currency developments, which we have anticipated actually a long time ago, our natural hedging activities here will certainly also play in our favor with the footprint expansions, which we are currently driving. And therefore for me, it is not so much about only about the capacity, but also about how we tactically, strategically operate our production footprint amidst all this geopolitical and macroeconomic uncertainties.
Lavric Nejc: If I may, I mean, can we understand that maybe a part of it will be going to China? I mean, if I speak maybe to some other companies, I heard that maybe China wants to have more manufacturing locally. I mean, you're now in Malaysia. I mean, is there any direction, any movement in that direction? Or part of that capital is going there?
Urs Gantner : Again, I think it's not the moment now to question the footprint that we have currently established. I mean, we are consciously monitoring that. And the observation that other companies are building kind of local for local production in China is also nothing new. So this is something that we keep in our drawer that we're analyzing. And at the given point of time, we would then also consider that for the time being. What I would like to reiterate is that the two flagship sites that we are focusing on is going to be Switzerland and Malaysia as per prior communication.
Lavric Nejc: Okay, thank you very much.
Operator: The next question comes from Jurgen Wagner from Stifel. Please go ahead.
Jurgen Wagner: Yeah, good morning. Thank you. If you look at a potentially weaker macro, let's say later in ‘25, how resilient would your service business be? And then you mentioned lead times are very short. Can you give us a number? Thank you.
Urs Gantner : Well, first to the lead time. Of course, it's always depending on the product line. But I think we are on a very low level in the 6 to 10 weeks. Meanwhile, it also depends. It's a high volume product, a new product. I think lead time is especially required to be fast in new products as well. This is typical now in this race of technology as well. Everybody has to be ready when the end users are requiring the new tools for the new processes. I think that's the biggest challenge in lead time also in connection to the engineering part. The second one was --
Jurgen Wagner: On the resilience of your service business.
Urs Gantner : A service connected to the consumer. I think our service business is heavily connected, of course, to the fab utilization. I think that's the most important. And for example, for the high band memory, there is capacity booked for the whole year. That's certainly a positive sign. Also from other large fabs in the logic and in the foundry business, they are fully booked for the leading edge. So this means they will keep maintaining their tools and also do expansion. I think these are still the positive signs we see, especially also in Japan and Korea. Korea, of course, is a typical semiconductor country. Japan, not any more than number one many years back. They also are up in the service business quite a bit. And also here, it's very important to stay very close to these customers, to the fabs, to serve them also globally. And I think that's also a strength of VAT that these global customers can benefit from our global footprint.
Jurgen Wagner: Okay, understood. Thank you.
Operator: The next question comes from Nigel van Putten from Morgan Stanley. Please go ahead.
Nigel van Putten: Hi, good morning. Just starting with a clarification. Last quarter, you said you were comfortable with consensus and explicitly said we're just looking for 20%. So when you're saying you're still comfortable with consensus to date, to what number are you alluding to? I think you said before you're analyzing the second quarter, the first half will get you to consensus. That implies 16% to 17% growth. Is that correct? I'm missing something here.
Fabian Chiozza : It's the same number, yeah.
Nigel van Putten: Sorry, so which number? Sorry, but can you just make it really clear?
Fabian Chiozza : Well, Nigel, around 11.40 [ph]. I mean, maybe there will be some adjustments to the consensus by you guys after today. But of course, there's also a bit of ethics consideration in there. So we'll see.
Nigel van Putten: Of course. Now, I'll tell you, the consensus for the fourth quarter, I mean, consensus has moved. And you've also provided average compiled consensus as a medium. We have Bloomberg visible alpha consensus. So it would just be helpful to just get the number.
Fabian Chiozza : It's Bloomberg and it was the 11.40 back then.
Nigel van Putten: 11.40 back then, you're still comfortable. Okay, so that would imply sort of growth in the second half. But -- and you've mentioned FX, right? I mean, perhaps. Can you remind us sort of what the percentage is of sort of U.S. dollar in your sales mix typically?
Fabian Chiozza : Yes, the U.S. dollar accounts for about 65%.
Nigel van Putten: 65%, right? Yes. And again, it's a Swiss franc. We're talking to almost a double digit headwind as of sort of current levels. So that's quite steep. So is there anything that's sort of offsetting that in terms of you? You're still being comfortable with sort of 20% growth into a year.
Fabian Chiozza : Yeah, but remember that in the sales recognition, you take the year to date average. So we started quite high still above 90. And so that takes quite a while up until this calms down. At this point of time, I would estimate if we look at it on a like for like basis that the FX impact for the year is still below 5%.
Nigel van Putten: Yeah. But strengthening into the second half. So I'm just asking, specifically to the second half seems to imply then that growth from the first half, even though the macro situation, et cetera, is tricky. So -- given you tend to have quite short lead times, I'm just asking, is there anything that gives you confidence that the second half would indeed sort of grow both organically and even offset the FX sort of headwind that's going to strengthen the second half?
Fabian Chiozza : We always have been in our mind that we the industry has this $100 billion wave of equipment. That's our assumption around that. And as I mentioned, pointed out before, there will be a share on the leading edge as well. And this is fueling our growth. And also mentioning before that the China -- growth in China, even though the wave is smaller there, but our growth will be there as well. So I think this comes together. It's not one element, but the different element that makes us really positive that we will have this growth in 2025.
Nigel van Putten: Yeah, I'm sorry to press the point, but I think this is indeed very consistent, which is at last quarter. But since then, we've seen the macro environment worsening. We've seen FX worsening. So I'm saying you seem to have to fill a gap here. And I'm just curious if there's anything specific you can point out that gives you the confidence to be able to do that.
Urs Gantner : Our confidence comes of course our customer talks, right? How we [Technical Difficulty] talk to our customers. They have their customers and they are the big investors as well. And actually, I think overall, it's just too early to judge all these developments. We alluded now several times to the uncertainty that we have. And we also reiterate that we feel comfortable with the consensus, which points at about 20%-ish growth. And where this whole FX situation is going to take us, I think we just have also here to drive at site. And at the next update, we'll tell you more. So I think that's as much as we can say now still reiterating the fact that we do see underlying growth also in the second half year, as you have rightly triangulated.
Nigel van Putten: Got it. And so you said even on the year-to-date for your internal budgeting, I get that now. But then looking at sort of margins, considering sort of your mismatch between 65% in dollars and what you're producing elsewhere, should we take that into account for gross margin EBITDA forecast? Is there anything you can provide some rough color on in terms of the materiality of maybe not tariffs, but the FX on EBITDA margins?
Fabian Chiozza : Also here, I think we have our financial model quite comprehensively in place now, as you have seen also in recent years. We have not been vulnerable to an extreme extent to these FX swings. And I think the same also applies going forward, where our hedging policy, both financial but also natural will provide certain mitigation to these elements. And bottom line, I would also here not expect a material impact on the margin. So we stay course.
Nigel van Putten: Okay. And then maybe lastly, on sort of ‘26 view, I think you've mentioned sort of a change in the structure of the industry towards sort of moving from plateau to plateau. Is that what you're sort of implying for ‘26, which should grow off the current process? So I guess no more cycles, but growing from at least a stable level and potentially see growth from. Is that the best way to interpret that commentary?
Urs Gantner : I think it's still early to say, but I think for 2026, the consensus here is that it will be around the 10% growth. So we'll get 110 in a positive scenario, maybe 115. That will be certainly something we are expecting. And this also shows now if you have now this plug of 110 and have a really growing with the shift, as I mentioned towards more leading edge. This is the growth story that's underlying to our numbers.
Nigel van Putten: Okay. Thank you very much.
Operator: The last question for today's call comes from Martin Marandon-Carlhian from ODDO BHF. Please go ahead.
Martin Marandon-Carlhian: Hi. Thanks for taking my question. The first one is on ALD. Could you give us maybe a bit more color on how ALD valve sales were ramping up in Q1? And in the sequential decrease of orders in Q1 versus Q4, did ALD valve orders have decreased as well? And I have a quick follow-up.
Urs Gantner : We're talking about the Advanced Industrials, is that correct?
Martin Marandon-Carlhian: No, I'm talking about the valves specifically for ALD applications.
Urs Gantner : Well, of course, this is a new product introduction, new products we are coming and bringing in. So this is how it goes in the semiconductor industry. You start with lead customers to qualify that develop the technology, the portfolio. I think that's a journey to go. We had fantastic spec points in the past and certainly on the leading edge tools. But it will take time, of course, until this will be in higher volume. That's why we always say this is kind of our Horizon 2 initiatives. We are very proud of that. Engineering were fantastic products going to the market. But so far, we do not disclose numbers on individual product families.
Martin Marandon-Carlhian: Okay. Thank you. And maybe for my follow-up on China. On a broader view, what do you expect from China in 2025 and 2026 compared to maybe three months ago? Because obviously, inventories to COGS ratio seems quite high at Chinese equipment manufacturers. And now you have more tariff uncertainty. But I was wondering if actually this geopolitical uncertainty could accelerate the decoupling of U.S. and China economies and actually makes you more confident on the China business going forward.
Urs Gantner : That's exactly the point. That's also how we estimate the situation. Already the sanctions, the technology sanctions accelerated. And now the tariffs are the next accelerator for the self-sufficiency in China. I think that's the program they are running. And they will not stop that. Whatever the West is doing, it's not stopping them to achieve their goals towards self-sufficiency in chip manufacturing and also in the equipment.
Martin Marandon-Carlhian: Thank you very much. Okay.
Michel Gerber : Okay. So, thank you very much. That was the last question. And we conclude our call here. We hope to see, of course all of you at our Capital Markets Day on May 20th here in Haag. I think we have a very interesting program with factory tour, innovation center tour, and then of course the formal presentations in the afternoon. Some invitations also with logistical details will go out soon after the Easter break. You should look for this in your inbox. And we hope to see all of you here in Haag. And with that, thank you very much. For those of you who have a long Easter weekend ahead of them, I wish you all the best there and have fun. And despite the markets, I'll talk to you on May 20th. Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.